Operator: Ladies and gentlemen, welcome to the Aquafil Group Q3 and 9 Months 2025 Results Conference Call. [Operator instructions] I will now hand the conference over to Giulia Rossi, Investor Relator. Please, Giulia, go ahead.
Giulia Rossi: Thank you, operator. Good evening, everyone, and welcome to Aquafil investor conference call. Today, we will update you on company's 9 months 2025 results. Before going ahead, let me remind you that this presentation may contain certain statements that are neither reported financial results nor other historical information. Any forward-looking statements are based on Aquafil's current expectation about future events and are subject to risks and uncertainties that could cause results to differ from those expressed by the statement. For a discussion of these risks and uncertainties, you should review the disclaimer in the presentation we issued today. I will now leave the floor to Mr. Giulio Bonazzi, for his remarks.
Giulio Bonazzi: Thank you, Giulia. Good evening to all, and thank you again for attending our video conference. The first 9 months of 2025 marked a solid performance compared to the previous year, especially in terms of profitability. The slight downturn in revenues is largely due to the adjustment of selling prices to the raw material trend, in addition to foreign currency translation effect. Volumes showed a positive trend compared to last year, with different dynamics at a geographical level. The United States reconfirmed the strong growth seen in the first half of the year related to the fibers for carpets. Europe and Asia Pacific observed a slower market, which was not fully supported by the expected volume increase in the fibers markets. The Engineering Plastics business continues its growth trajectory, delivering positive performance in terms of both volumes and margins. The cost rationalization project is progressing in line with expectations, generating the first savings already in 2025, with most of the effects becoming visible starting from 2026. The net result for the year was positive despite the impact of the extraordinary items concerning the various reorganization projects, which amounted to over EUR 8 million. The positive trend will consequently be even more pronounced next year. The change in net financial position is mainly attributable to planned strategic decisions. The inclusion of new European suppliers has temporarily led to a change in payment terms. Furthermore, the need for non-EU imports to adapt to the changing raw materials market has lengthened our cash cycle, which will be normalized in the coming periods. We look forward to next quarter with determination, focused on consolidating our position and maximizing operational efficiency. We are now welcoming your questions about our first 9 months results.
Operator: [Operator instructions]. The first question is coming from Tommaso Nieddu from Kepler Cheuvreux.
Tommaso Nieddu: The first one is on the update of the industrial plan. So volume expectations for both BCF and NTF have been revised from growth to being substantially stable, while polymers were cut from 45% to 15%. So could you elaborate on whether this softness in volumes is due to weaker appetite for your products? Or is it more market driven? The second question is on the timing of CapEx, which has been revised down by roughly EUR 12 million, EUR 13 million versus the previous guidance. So could you clarify what you now expect for the next year, and specifically, if this reduction is mainly deferral of the planned investment in 2025, or just a structural downsizing of the investment plan?
Giulio Bonazzi: About volumes, as I have already said during my first presentation, we are seeing a very strong momentum in United States, while Europe and Asia are unfortunately not showing the growth we were expecting. This is not because of a lower appetite on our product -- it is exactly the contrary -- but it's a market situation, which unfortunately is not delivering what was, let's say, hoped at the end of last year, partially because of the uncertainty driven by the U.S. tariffs, partially because in Europe also a strong import coming from China that has deviated from exporting to United States and has started to be more active in our market for certain products. About the polymer, I always remember you that we have two business lines inside this, let's say, larger area of business. One, which is considered more a commodity, where volumes are not of great importance, which is so-called basic polymer business. And it consists in buying raw material, the monomer, caprolactam, transforming it into polymer and selling it to the market. This activity is mostly an activity which is driven by the idea of filling up capacity, utilizing our utilities at a level which is considered cost competitive and of course, trying to strike a contribution margin for covering our fixed cost. But the unit margins of this activity is not so important. On the contrary, the activity that we denominate engineering plastic, it's a different matter. This activity is the strategic activity that Aquafil is targeting and is having an intrinsic marginality, which is definitely much more interesting than the one of the basic polymer. In this second activity, we are also comprehending the activity of the sale of ECONYL polymer in the plastic or engineering plastic market. This second business line is behaving or has behaved in the first 9 months of the year very strongly in comparison with last year and also in comparison with our budget expectation. And this is the activity that we are considering, let's say, very important for our future growth in the European market in the coming years. In this activity, we will also try to push stronger and stronger the sales of our ECONYL polymer for the plastic applications. BCF and NTF, they have shown a very similar trajectory, but with very different moments during the course of the third quarter. We have seen a very slow July and August. On the contrary, the month of September has shown a very interesting demand and sales, and quantities have partially recovered from the downturn of July and August. In fact, the month of September also for NTF was higher than our expectation and close to our, let's say, financial plan that we have delivered to the market last year. Unfortunately, there is a big uncertainty, which is not helping us to give reliable forecast. But for sure, during the coming weeks, we will come out also with, let's say, our idea, not only obviously, for 2026, where we are now currently in our budget activity, but also for the year to come -- '27. About CapEx, as you remember, we have partially anticipated [Technical Difficulty] for the Chinese project, which was the most important project of our business plan, already at the end of '24. So this is partially revising our CapEx for 2025. And in 2025, if you remember, we have also communicated to the market that we were for the time being suspending and postponing the project of automation in our Italian operation because we were starting more interesting projects in the field of energy savings, which are about to come during 2026. In any case, our, let's say, future projections are bringing capital expenditures in a very cautious way. So we will certainly keep investing less than what we have, let's say, foreseen in the previous plan. Also because if volumes are not recovering, clearly, we need less capital expenditures for fulfilling our future demand.
Operator: The next question is coming from Dave Storms from Stonegate.
David Joseph Storms: The first one I wanted to ask about was in terms of margin defense. How much more room is there for the reorganization projects looking into 2026? My second question is -- thinking upstream, is there more work to be done in terms of further diversifying to European suppliers? And then will that also correlate to further change in payment terms and resetting the clock on cash generation?
Giulio Bonazzi: Thank you, Dave, for the question. When we entered into the summer, we have seen that, unfortunately, the market was likely not to respond as strongly as we were forecasting. And so we went strongly to reconsider our organization in order to reconcile direct and indirect labor and all, let's say, the costs that are related to our activity. We have targeted a very strong cost reduction activity for the year '25 and '26, which is amounting to more or less EUR 20 million. Currently, we have already, let's say, agreed between layoff of personnel plus revision of purchasing contracts, a number which is exceeding the EUR 10 million, of course, without considering inflation of '25 and '26. So we are still seeing an inflation trend, in particular for the labor cost in certain areas of the world that will diminish the cost reduction activity that I have just spoken. Nevertheless, let's say, we are very confident that during 2026, between the completion of the reorganization project regarding our carpet collection and carpet recycling activity, and the completion of the energy saving project that is showing very interesting numbers during '26, we will strike the EUR 20 million of cost reduction. So there is still room as well as there is still further room in operational efficiency through, of course, even higher production yield and lower certain grade production in our operations, and we will continuously act in order to reach this better efficiency levels. About the upstream and the supplier side, we are experiencing, in our opinion, a structural modification of the market. We are in presence everywhere in the world, but in the United States with a strong importation of Chinese commodities and raw materials in our industry in the form of monomer, caprolactam, and nylon-6 polymer. The Chinese industry has set up an incredible capacity, and it is now after fulfilling completely the local demand, acting very strongly in exporting this product first to the neighborhood countries and they have already, let's say, closed the shutdown of the caprolactam plant in the nylon industry or the bulk of the nylon industry in Korea. Thailand will close its caprolactam plant in March of '27. And Japan has already announced that they will close another caprolactam plant in March -- Thailand in March of '26, and Japan in March of '27. We, of course, have suffered what the disappearance of our European suppliers. In fact, during '24, we have seen one producer in Poland shutting down during '23, one plant in Germany shutting down. During the first quarter of '25, another plant in Czech Republic shutting down. And at the end of October, an important strategic producer in Holland has announced that they are going to temporarily shut down production capacity. But they have not said in the local newspapers, the news was not temporary, but let's say, full shutdown of the operation in this important plant. And this is, of course, how can I say, an alarm that is sounding on our brain, our head. At the same time, in the month of October, BASF, which is the largest caprolactam producer in Europe, was in its planned turnaround. And when they return from the turnaround and they tried to start up the plant, gosh, they have got a technical problem and they entered in force majeure. So to cut the story short, 50% of capacity of our suppliers has disappeared or is currently not operating in Europe during the last 24 months and today. Is this going to be a contingent situation or a structural situation? Well, thanks God, Aquafil has the fortune of having a very flexible, let's say, operation. So we are capable of importing and using raw materials coming from overseas as well as, of course, we have our ECONYL production capacity that is producing at the very same month. So we have partially reoriented purchasing from different caprolactam suppliers in Europe. Partially, we have increased our import of caprolactam, particularly during this current financial year. And very likely, we will further increase during '26 as well as, of course, we are always careful to see how much ECONYL we can produce eventually. If it is becoming cheaper than the purchasing price, we could also produce ECONYL caprolactam instead of buying, if the marginal incremental cost is lower than the purchasing market price. So in terms of raw material availability, we are confident that we have solved our problem, which is not the case for all our competitors. Clearly, temporary, we have very aggressive, let's say, knock the door to other suppliers, and this has temporarily impacted our net financial position and our cash flow. But of course, with the time, we will be able to adjust also in terms of payment with our suppliers returning somewhat similar to what was before this problem that has strongly impacted our net financial position.
Operator: The next question is coming from Gianluca Pediconi from MOMentum Alternative Investment.
Gianluca Pediconi: I understand that the visibility is very poor. But I have a question which you can answer also in a qualitative way. There is a EUR 10 million shortfall in EBITDA compared to the previous guidance, and there is also a lower volume growth compared to what you were expecting at the beginning of the year. How the combination of these 2 facts is going to impact 2026? I mean do you expect that thanks to the cost saving program, you will be able to partially offset the lower enter into 2026, or this shortfall will not be recovered because the market conditions are actually worse than expected?
Giulio Bonazzi: The cost reduction program will certainly positively impact our EBITDA during 2026, has already positively impacted our EBITDA during 2025. And so clearly, it will be showing even stronger effect during '26. Clearly, the final result will be, let's say, also impacted by the forecast on volumes. And this is now a little more challenging to forecast clearly. Now everybody is very prudent and tend to repeat, or being very close to the volumes that we have seen during 2025. We will see. As I said, and as you have wisely said, it is not easy now to make a forecast. This not only in our industry, but in every industry, if not in AI and in the military sector, at least for the time being. Hopefully, this will come soon. Let's say that we are seeing already the first orders of the new production programs like the maritime, the aviation, the transportation, and also the technical yarns for circular fishing nets and ropes and for the area rugs systems. We are seeing also positive impact on our actions of targeting new customers in the NTF. Of course, we must understand what is the net effect, considering also our traditional customers that are suffering the current crisis of the fashion industry and the sportswear industry. So we are all very positive about 2026. But mostly because our cost reduction program, which we have already, let's say, realized and the one which is under realization for next year are quite tangible and visible. And so this of course will permit us, while reducing cost also, to become more aggressive in the market for gaining market shares and orders instead of import of our, let's say, local competitors.
Operator: [Operator Instructions]. There are no more questions at this time. So I hand the conference back to the speakers for any closing remarks.
Giulio Bonazzi: Well, I want to thank you all for attending our 9 month financial results for 2025. And we will come back soon, hopefully, with good news for the next quarter and for the next financial year and the next business plan. Thank you all, and see you next time.
Operator: Thank you for joining today's call. You may now disconnect.